Operator: Good morning, ladies and gentlemen. Welcome to the Cargojet Conference Call. I would now like to turn the meeting over to Pauline Dhillion. Please go ahead, Ms. Dhillion.
Pauline Dhillon: Thank you, operator. Good morning, everyone, and thank you for joining us today on this call for the first quarter of 2020. With me on the call today are Ajay Virmani, our President and Chief Executive Officer; Jamie Porteous, our Chief Commercial Officer; and John Kim, our Chief Financial Officer. After opening remarks about the quarter, we will ask the operator to open the lines for questions. I would like to point out that certain statements on the call, such as those relating to our forecasted revenues, costs and strategic plans are forward-looking within the meaning of applicable securities laws. This call also includes references to non-GAAP measures like adjusted EBITDA and adjusted EBITDAR. Please refer to our most recent press release and MD&A for important assumptions and cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP income. I’m going to turn the call over to Ajay now.
Ajay Virmani: Thank you, Pauline, and thank you, everybody, for joining us this morning. Before I speak to Cargojet’s first quarter performance, I want to take a moment to thank – to talk about, this once-in-a-lifetime moment we are all living in. COVID-19 has disrupted lives, businesses of billions of people around the globe. Sadly, over 4,300 Canadians have lost their lives. Our hearts go out to the families and their loved ones. As a business that has been declared an essential service, we have had the opportunity to be in the center of this fast-changing environment. While I’ve always been proud of my team, but watching them swing into action and put in place new processes to protect our employees, customers and cargo in record time and still operate at full capacity has been nothing short of remarkable. Cargojet provided a detailed update on our COVID response in our March 19 press release. We are managing unprecedented volumes, often at short notice and changes, but our team continues to shine every day just like thousands of other frontline heroes who are serving our country at this difficult times. We have had a long history of working shoulder-to-shoulder with the couriers, freight forwarders and postal industries. While everyone is being asked to stay home, frontline delivery workers, postal, courier employees and e-commerce delivery personnel are busy delivering essential packages to households, allowing them to safely stay home, allowing us to stay safe. Being able to support the vital industry during this pandemic has been a real privilege. I salute each one of the frontline heroes. And now let me turn to the Cargojet’s first quarter results. We had a very strong start to the year with revenue growth of 11.4%, gross margin growth of 52% and adjusted EBITDA growth of 24.5% of our business is demonstrating a strong operating leverage. While I’m particularly proud of the fact that our growth was not concentrated in this line of business, while Domestic Overnight held its own, ACMI volumes, and All-in Charters, and all our other businesses posted strong year-over-year growth. With over $29 million in adjusted free cash flow, we posted our best-ever quarter in the free cash flow generation. We are well capitalized and have sufficient liquidity to meet our day-to-day future growth needs as we navigate these uncertain times. Moving on to operations, we are experiencing some unexpected surge in business, consumers, e-commerce volumes, but these are being offset by significant declines in business-to-business volumes. This is due to the national shutdown of virtually all types of businesses. We expect business-to-business volumes to come back slowly as the provinces allow businesses to reopen again. As a matter of fact, we have started to see some turnaround in the last 1 week already. While it is fair to say that nothing prepares you to face a challenge like COVID-19, it is worth noting that our ability to rapidly adapt to the new reality is a result of many years of hard work. We have been putting in place the building blocks of our growth strategy and have allowed us to manage extreme variability in volumes as well as the flight network. The foundation of our business is built in 5 core strategies that I have mentioned on my previous calls: number 1, build the best overnight, cost-effective air network; number 2, maximize fleet and asset utilization; be relentless about our on-time performance; build a unique Cargojet culture leading to the best employer in aviation; and last of all, financial discipline to build long-term shareholder value. As we move forward, we will continue to be guided by these priorities. While the long-term implication of the full impact of COVID-19 remains unknown, Cargojet is working hard to adopt to this fast-changing environment and the new norm. We have a great team, strong set of assets, highly flexible fleet. And we are well capitalized to continue to tap the growth opportunities in this changing environment. I want to conclude by once again thanking from the bottom of my heart, each and every one of our frontline workers. And I feel privileged to be part of an essential service that are keeping our country’s supply chain moving. Once again, thank you for joining us this morning. We’ll now open the lines for questions at this time.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from David Ocampo with Cormark Securities. Your line is open. Please go ahead.
David Ocampo: Good morning, everyone.
Ajay Virmani: Good morning.
David Ocampo: Ajay, last quarter, you kind of indicated that you expected for volumes to pick up in the back-half of the year and to sort of end up, up mid-single-digits. I understand the pandemic changes everything, but kind of based on what you see today and, in your seat, is mid-single-digits still achievable?
Ajay Virmani: I think if we look at, like I said, business, B2B businesses were down, but we saw some upward trend in the last 1 week. B2C is up substantially. And I certainly feel that what you just asked for, like in the mid-single-digits is certainly feasible.
David Ocampo: And sort of on the increment...
Ajay Virmani: Combining all the lines of business.
David Ocampo: And on the incremental charter business that you’ve been doing, how is the pricing on that, say, versus your base business and even compared to passenger airlines that are completing those charter-only flights?
Ajay Virmani: So the charter demand is extremely high. Our first priority is to provide these charters to the government of Canada and some of the provinces who are chartering on their own. Yes, they have a pretty good margin, but we’re not into price gouging or profiteering at this time as some of the other carriers are. We have a fair margin on it, but certainly not to the level where we’re taking advantage of the situation that is out there right now.
David Ocampo: And this may be a bit early, but we’re seeing kind of passenger airlines retire some of their older aircraft, notably even 767s. Do you guys take that opportunistic view and look to acquire aircraft in this environment?
Ajay Virmani: So, yes, a number of airlines are retiring 757s and 767s. We will look at those opportunities as they present themselves, because there is going to be quite a few aircraft that will be available in the market and that have been retired by these airlines. We only take on aircraft when we have a use for it. We are always working to add aircraft, if there is demand for it, if we can find customers who are willing to take those aircrafts, yes, we will go out and buy them. At this stage, we don’t have any plans. But there are also opportunities when these aircraft become available, that if they’re not to be used as aircrafts, they can always be cut up for parts and the engines utilized on our aircraft. So those strategic opportunities, we have always taken advantage of, and we’re still looking for those in the market.
David Ocampo: Thanks. I’ll hop back in the queue.
Ajay Virmani: Thanks.
Operator: Thank you. The next question is from Doug Taylor with Canaccord Genuity. Your line is open.
Doug Taylor: Yeah, thank you. Good morning.
Ajay Virmani: Good morning.
Doug Taylor: Further to that last question, can you update us on your capital expenditure planning for this year, and whether there’s been any changes here since your last update in light of the current environment?
Ajay Virmani: We don’t have any major changes in the plans that we presented. We have frozen all unnecessary expense – when I say every capital expenditure necessary. But I would say, defer most of the capital expenditures, if we can shift them to the following year or the following quarter, the strategy has been to preserve cash during this crisis and we are managing that very well. Outside of, as I said, any other opportunities that come along are extremely great, like in terms of acquiring parts or engines or aircrafts that can be cut into parts and utilized in our fleet over the next 1 year or 2 years, we are open to those opportunities. And so, we’ve not – we haven’t changed any of our capital expenditures from where we were at the last time.
Doug Taylor: Okay. Thank you. You’ve mentioned in prior calls and your prior update related to COVID-19 that you’d received some relaxation on some maintenance requirements for this year. I guess, I’ll ask you if you can talk about the regular scheduled maintenance, how far that can be deferred, whether or not we’re going to hit a point where your fleet has just been running flat out for too long and you need to put some aircraft on the sidelines just to do regularly scheduled maintenance and things like that? Or if you can defer all of this a whole year?
Ajay Virmani: So we’re working with Transport Canada just to make sure that, number one, our safety and security of our equipment is paramount to us. And so what we’re doing is we have, by –aircraft-by-aircraft, we are deferring some of the major items that are – that we call our – few check items that are normally done every 2 years, so some of that could be deferred up to 20% to 30% of the total time that it takes. We are not deferring anything that’s essential. We are doing it in-house. Transport Canada has also been very vigilant in making sure that any of the safety items that are being done, we do it whenever the aircraft is down. So it’s kind of a mix of both. Some items have been deferred and some items are being done early and some of those items are being done now. So the key is there to operate these planes safely. And also the domino effect, like you asked, what would happen if we had to take a whole bunch of them out at one point and not have anything to fly? That won’t happen because our planning team is at it. They’re in touch with Transport Canada almost on a daily basis. And any deferment of any major c-check is conjunction with doing some work early, some – going along rather than doing it all at once. We’re doing some work early, some a few weeks late, and there will be some work that will be deferred. But at one point, this will have a domino effect into next year, and those aircraft are also being planned at the same time. So the planning is key to this, and we are hard at it.
Doug Taylor: Okay. Last question for me. I mean, you’ve mentioned the strength in the B2C ACMI charter business; B2B, a little bit slower, although starting to potentially come back here. Can you give us – I mean, for the benefit of the listeners, can you provide a relative proportion of your revenue that comes from the B2B versus B2C within the core overnight, so that we can help understand those countervailing trends?
Ajay Virmani: Well, we don’t have kind of a segregation, because we don’t look into what the customers are shipping in their containers. We get a container from Vancouver; we ship the container to Vancouver. But after speaking to our customers, we’ve been told and advised and watching the trends that the B2B is down, the B2C is up. So the net result of us is not that we are down as a result of this. One thing I can tell you, Doug, is that B2C, being up, I mean people are now more used to the e-commerce solutions rather than going out to the stores. And we think the trend will continue. And that would certainly balance any decline in B2B. And I think as I had mentioned in my previous calls, that we are about 7% to 8% of total retail sales prior to COVID on e-commerce, and the rest was all still traditional sales. I can tell you that, us talking to many customers, everybody feels that this will certainly enhance and speed up Canada catching up to U.S., where 15% or 16% of the sales are on e-commerce, and in Europe and Asia, over 20%. So we see that this trend will continue on. As a matter of fact, more Canadians are going buy – to be buying online. And I think many people that we have talked to have told us that they are now so used to buying at home, sitting at home for the past 6 weeks, that this trend is – they have had a taste of this, and they really like it. So we think this would enhance and get us closer to what the U.S. and worldwide percentages are for e-commerce.
Doug Taylor: Okay, AJ. I’ll pass the line.
Ajay Virmani: Thanks.
Operator: Thank you. The next question is from Cameron Doerksen with National Bank. Your line is open.
Cameron Doerksen: Thanks. Good morning. I wonder if you could just talk a little bit about the ACMI business. What are your customers seeing there? I presume they’re also pretty busy with e-commerce related volumes. I’m just wondering, if you see any additional opportunities either flying the existing aircraft on more routes or potentially new routes with your ACMI clients.
Ajay Virmani: Yeah. Jamie, do you want to...
Jamie Porteous: Thanks, Cameron. So you were asking. On what customers specifically were you asking? You broke up on my phone.
Cameron Doerksen: Yeah, just on the ACMI business. I’m just wondering what your customers are seeing as far as volumes. I presume they’re also seeing pretty strong volumes.
Jamie Porteous: Yeah, they are actually very, very strong. And so equally, sort of having the same impact on that part of the business as we see in the core overnight, where obviously, the B2C business is up significantly, B2B down a little bit. One of the things that we’ve been able to do to take advantage of some of both the ACMI growth and strength and the charter business is, through a little bit of a combination of a bit of reengineering of our domestic network, flight schedule. And combined with, as Ajay noted, with Transport Canada, allowing us to defer some of the heavy maintenance until 2021, it has enabled us to free up 4 767-300 aircraft out of our fleet, 2 of which we’ve dedicated to doing relief charters to Shanghai from China back to Canada for the Canadian government and various provincial governments that are literally since late March, early April, have been flying daily flights from Shanghai back into Canada. The other 2 aircraft that we freed up, we’ve been able to add to our ACMI flying with DHL to take advantage of a shortage of capacity between North America and Europe. And have been flying some dedicated routes between Cincinnati and the UK initially, and we’ve just expanded that for another 4, 5 months to Brussels and London.
Cameron Doerksen: And do you think – I mean, obviously, with an ACMI route, you have to – long-term, you have to add an additional aircraft. But I mean, do you think some of this business will become more permanent, longer term?
Jamie Porteous: I mean, we think so. I think the spike in volume that we’ve seen right now, and certainly, the lack of demand has increased yield significantly. All indications are, when you listen to – and you guys probably know better than we do, in terms of what the passenger industry is going to do, but all indications are that as passenger travel starts to come back and depending how many years it takes to do that, I think the last thing to come back is going to be global international passenger traffic. So we think there’s going to be a significant reduction in belly cargo capacity as compared to what there was pre-COVID-19, and I think we’re well positioned to take advantage of that opportunity.
Cameron Doerksen: Okay. Excellent. Thanks very much.
Operator: Thank you. The next question is from Chris Murray with AltaCorp Capital. Your line is open.
Chris Murray: Yeah. Thanks, guys. Good morning. So just moving maybe on that point, Jamie. Can you talk a little bit about – you talked a little bit about volumes. Can you talk a little bit about yield also and the pricing environment? And how much do you think that’s going to be longer-term structural with that amount of capacity now permanently in all the market?
Jamie Porteous: Yeah, I think it’s going to be – I think it will be significant for a long period of time. I think depending geographically, in terms of international cargo, I think as passenger airline and belly capacity comes back, there’s going to be – certainly going to be an impact on yields, lowering them a bit. But I think that, as I noted, I think global – I don’t know what the percentages are. But if you look at total global air cargo demand, I think it’s down by – or not demand, capacity is down 50% to 60% globally, because of virtually no passenger aircraft, especially wide-body, long-range aircraft, operating around the world. I think that some of that – assuming some of that is going to come back, obviously, the – economically, it’s cheaper to put cargo in the belly of passenger aircraft than it is on dedicated freighters. But I think there’s some strong confidence that yields are going to stay sufficiently high enough to justify cargo operators. There’s not enough cargo operators to meet the demand today, and I think we’re going to see that for the next couple of years.
Chris Murray: And so how does that – I guess, going forward, how does that change your approach to kind of price-volume tradeoffs? Is there a point where you just start pricing higher and keeping capacity down? Or do you start maybe increasing capacity and moderating price? Like how do we think about the tradeoff on a go-forward basis?
Jamie Porteous: I think you look at it 2 ways. I mean, I’m speaking specifically more about the international cargo opportunities. I think on the domestic network, pricing is pretty stable. It’s contractual, so we don’t have a lot of impact on that. Internationally, I think where yields are and pricing are at a level now where it makes total sense for dedicated cargo operators like ourselves to take that commercial risk to fly international routes. And it depends on how much those yields come down. At level pre-COVID-19, it didn’t make economic or commercial sense for somebody like Cargojet to put a scheduled route on other than selective basis like we’ve done for the last 8 or 10 years, to Cologne, because yields just didn’t justify dedicated cargo operations. If you look at, as an example, our Cologne flight today, the yields out of Europe coming back into Canada are probably 3 to 4 times what they were pre-COVID-19. I don’t expect that those would continue long-term, but I don’t think they will go back to pre-COVID-19 levels any time soon.
Chris Murray: Okay. Fair enough. And then just thinking about maybe potential for growth. You still have the one aircraft, I believe, that’s still due September or something like that, out of conversion. Just into discussions around that aircraft, is that still on schedule? And then I guess the other question is, I would have to think that capacity is going to get tight to be able to do conversions. But do you guys have any opportunities if you wanted to do conversions? Is there capacity with the shops to actually be able to get that done?
Ajay Virmani: Yes. There is – obviously, with the – when you say the capacity is going to get tighter to convert, there is really aircraft industry that does conversions in Tel Aviv and also opened a facility in Mexico where they can do 2 aircraft at a time. I think, yes, there will be a higher demand for the aircraft, but I don’t think that it will be an unmanageable conversion situation. We have an aircraft coming in September that will meet our needs and some growth opportunities at the same time. We also have access, if we wanted to lease a bigger aircraft, those are available as well. I think we’ll have to – and there are some converted 767s in the market as well. So there will be – aircraft pricing will decline. I don’t know whether the conversion pricing will hold at this time or it will go down. But initially, short-term, they will probably hold and then eventually come down. So I think, we’re well prepared that within the existing fleet and the next aircraft coming in, that we will have sufficient capacity to service the business on hand.
Chris Murray: Okay. Thanks. Those are all my questions.
Operator: Thank you. The next question is from Nauman Satti with Laurentian Bank. Your line is open.
Nauman Satti: Okay. Hi, good morning.
Ajay Virmani: Good morning.
Nauman Satti: So my first question is with regards to the demand that you guys can manage. I understand that you guys, your flight time per aircraft is less than what the industrial practice is. But I was just wondering if there is any bottleneck or anything that you guys are concerned about that can sort of hamper this management of this demand?
Ajay Virmani: Well, we’re always concerned about the overall economic condition of the world and especially the country. I think that if there is nobody buying any product anywhere, whether it’s e-commerce or stores, then obviously, we will get impacted at some point. But right now, the way trend is, the way it’s looking like that there will be – people are returning to back to normal. Obviously, if you look at the [CVC airlines] [ph] today, which talks about people are being pushed back into normal, which 3 weeks ago, we were told is not normal. So there are – there’s obviously a mixed messaging. This will all depend on how the market performs. We think that the e-commerce demand certainly will be on the domestic side, will definitely be strong. We also feel that international charters and international opportunities will be strong, because the passenger airlines have always – or in the past 2 weeks, whoever has declared results, has openly said they don’t expect that this will be normal for 3 years. So if it’s not going to be normal, then we know that the wide-body aircraft that fly internationally and carry cargo are not going to be doing that, which means cargo aircraft will have higher demand. So in the short-term and in the medium-term, it certainly looks like that the demand for both the e-commerce and the domestic side, and also the international charters is not slowing down.
Nauman Satti: Fair enough. And if I rightly recall, do you have the option to purchase the aircraft that you guys are releasing in October 2020. Is that something that you still plan on doing? Or are you going to continue the lease with that for another 3 years or so?
Ajay Virmani: No, I think that’s a capital lease on that aircraft. We already own that aircraft. The one that we are getting in September, October is already owned by us.
Nauman Satti: Fair enough. And just if you could provide an update on the pilot hiring. I understand you had to hire more pilots because of the fleet conditions.
Ajay Virmani: Yeah. So – because of the – 2 reasons we started hiring additional pilots, because of the pilot fatigue rules coming in December 2020. But also, that helped us with additional businesses that additional flying we are doing, and we have been able to hire at least 20 additional pilots at this time. And there’s a number of them being interviewed and in training, we should be able to – so our plan is to, within the next week to 2 weeks, to have about 40 additional pilots that we will need for 2 reasons. One is the excess flying, one is that we do want a buffer of at least 15 to 20 pilots on hand to mitigate if any of the pilots, unfortunately, tests with COVID being positive, we will need to maybe ground 2 or 3 or 4 and put them in quarantine. So we would not have the flexibility of the pilots that we have today. So it’s sort of 2-way thing that we’re doing. One is to mitigate, to make sure that we have enough people on hand if that risk ever arises. And second part of it is to continue meeting the demand and doing charters that we are doing. So we are well-positioned on that.
Nauman Satti: Yeah, thank you. That’s it for me.
Operator: Thank you. The next question is from Walter Spracklin with RBC Capital Markets. Please go ahead. Your line is open.
James McGarragle: Yeah, well, this is James McGarragle. Actually, I’m on for Walter today. Thanks for taking my question.
Operator: Thank you. The next question is from [Amina Deraji] [ph] with Scotiabank. Your line is open. Please go ahead.
Unidentified Analyst: Hi, this is [Amina Connar, Gupta’s Associates] [ph]. I would like to know the progress in your ACMI contracts with DHL and other customers.
Ajay Virmani: So we already have customer contracts for DHL that we are flying into, 2 flights a day into Mexico. We also have 4, 5 flights that cover between Cincinnati and Canada every day. Present DHL flying that we are doing is on an ad-hoc basis into Europe, a couple of flights a day. And those are – for a period of time, they are not long-term contracts at the present time, but I’m sure that there will be some opportunities for us within the DHL system to expand. So there’s not much of an update on it other than, at this time, we have stepped up for them and we have been able to reconfigure our network to provide capacity to them on 2 additional flights that are badly needed to Europe.
Unidentified Analyst: Thank you. I don’t have any more for questions.
Operator: Thank you. [Operator Instructions] The next question is from Walter Spracklin with RBC Capital Markets. Your line is open.
James McGarragle: Hey, Everyone, can you hear me now?
Ajay Virmani: Yes. Yes.
James McGarragle: This is James McGarragle. I am on for Walter. I appreciate taking my question. So when we’re looking at your customer conversation due to COVID-19, are your customers looking at change in any meaningful way, the structure of your contract?
Ajay Virmani: No, we have not had any sort of indication from any of the customers to change any of the contractual terms at this time.
James McGarragle: Okay. And with regards to Air Canada’s reconfiguration, how do you guys see this affecting your business?
Ajay Virmani: We are actually not seeing any impact to them, because they have – keep in mind, they have $800 million worth of cargo business that they need to – so they’re servicing only a portion of their business by doing what they’re doing. As a matter of fact, with them getting into the business, that’s taken some pressure off us to do some extra charters for our existing customers that we could not – we had to say no to. So they’re actually helping us and helping the marketplace and helping everybody in this country to meet the – keep the supply chain going. With them converting, keep in mind into – they’re not full conversions. They have strictly taken the seats out and put the nets in so they can put some more boxes. And these boxes are mostly, from what I understand, are for PPE and medical supplies and stuff like that. So not one company can handle the load this country needs, so they are technically trying to maintain their customers and help their customers and help us all at the same time. So we don’t see any significant change in our business because of that.
James McGarragle: Okay. That makes sense. So on the domestic business, is there going to be any impact on mix due to the new volume that you guys are bringing on in Q1 or in [Q2] [ph]?
Ajay Virmani: No, no, not really. We don’t think that will impact us in any of the way.
James McGarragle: Okay. And my last question here is, how do you think about volumes and capacity heading into Q2? I know, obviously, e-commerce is strong. We’re seeing reduced capacity due to the lower passenger aircraft demand. So how is your team feeling the demand outlook in the near term? And kind of related to that, how much capacity do you guys have available to meet that demand?
Ajay Virmani: Well, we could, at any given night, I mean, to give you an example, if you are handling 0.5 million pounds from here to Western Canada, we could any given night increase that by 100,000 to 150,000 pounds at a flip of a switch. So we do – and we can do, turn around these aircraft in the mornings, again, to not maybe get there at 4:00 or 5:00 at the destination, but certainly do it by 7:00 or 8:00 in the morning. So if that was the case, we do have – as I said, we have recruited a number of additional pilots. We do have the capacity to do early morning departures in addition to what we do. We can do an additional flight at night. And we can also give all day to turn the aircraft around if there was a demand that need a daytime service as well. So we’re well equipped to handle, I would say, on any given night or given during the day, at least 50% of our additional capacity if we needed to.
James McGarragle: Awesome and that’s it for me. Thank you.
Ajay Virmani: Thanks.
Operator: We have no other questions registered at this time. I’d like to turn the call back to Ms. Pauline Dhillon. Please go ahead.
Pauline Dhillon: Thank you, everyone, for joining us on the call today. Wishing everyone a safe, and happy, and healthy day. Thank you.
Ajay Virmani: Okay. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.